Operator: Good morning, ladies and gentlemen, and welcome to the Celestica Q2 2022 Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Tuesday, July 26, 2022. I would now like to turn the call over to Mr. Craig Oberg. Please go ahead.
Craig Oberg: Good morning, and thank you for joining us on Celestica’s second quarter 2022 earnings conference call. On the call today are Rob Mionis, President and Chief Executive Officer; and Mandeep Chawla, Chief Financial Officer. As a reminder, during this call we will make forward-looking statements within the meanings of the U.S. Private Securities Litigation Reform Act of 1995 and applicable Canadian Securities Laws. Such forward-looking statements are based on management’s current expectations, forecasts and assumptions, which are subject to risks, uncertainties and other factors that could cause actual outcomes and results to differ materially from conclusions, forecasts or projections expressed in such statement. For identification and discussion of such factors and assumptions, as well as further information concerning forward-looking statements, please refer to yesterday’s press release including the cautionary note regarding forward-looking statements therein, our most recent Annual Report on Form 20-F and other public filings, which can be accessed at sec.gov and sedar.com. We assume no obligation to update any forward-looking statement except as required by law. In addition, during this call, we will refer to various non-IFRS financial measures including ratios based on non-IFRS financial measures, consisting of non-IFRS operating earnings, non-IFRS operating margin, adjusted gross margin, adjusted return on invested capital or adjusted ROIC, adjusted free cash flow, gross debt to non-IFRS trailing 12-month adjusted EBITDA leverage ratio, adjusted net earnings, adjusted earnings per share or adjusted EPS, adjusted SG&A, Lifecycle Solutions revenue, and adjusted effective tax rate. Listeners should be cautioned that references to any of the foregoing measures during this call denote non-IFRS financial measures, whether or not specifically designated as such. These non-IFRS financial measures do not have any standardized meanings prescribed by IFRS and may not be comparable to similar measures presented by other public companies that report under IFRS or report under U.S. GAAP and use non-GAAP financial measures to describe similar operating metrics. We refer you to yesterday’s press release and our Q2 2022 earnings presentation, which are available at celestica.com under the Investor Relations tab, for more information about these and certain other non-IFRS financial measures, including a reconciliation of historical non-IFRS financial measures to the most directly comparable IFRS financial measures from our financial statements. Unless otherwise specified, all references to dollars on this call are to U.S. dollars, and per share information is based on diluted shares outstanding. Let me now turn the call over to Rob.
Rob Mionis: Thank you, Craig. Good morning, everyone, and thank you for joining us on today’s conference call. After a strong start to the year, we have carried forward that momentum into the second quarter, delivering another quarter of solid performance. Our results met or exceeded our expectations across both our ATS and CCS segments, despite challenges presented by the macro environment. Our solid performance in the second quarter was driven by double-digit year-over-year revenue growth in both our ATS and CCS segments and higher year-over-year revenues across all of our end markets. Additionally, we are pleased to have delivered strong adjusted free cash flow in a highly volatile environment. We believe that the current environment continues to present significant opportunities for us with customer demand remaining strong. However, we remain cautious and vigilant given the risks presented by the current supply chain situation, macroeconomic challenges and other potential hurdles related to the COVID-19 and geopolitical tensions. I am pleased to say that our team has done an excellent job navigating these challenges, and we believe that our business is well positioned to weather any further challenges on these fronts. In early June, Batam, Indonesia facility experienced a fire in their warehouse. Thankfully, no one was hurt, and the facility was back online a few weeks later. Although, we lost inventory in the fire, we anticipate the site will be at pre-incident production rates as we exit the year. The financial impact of the second quarter was minimal, and we expect that the impact to our 2022 annual top-line will be less than $100 million and we made up in 2023. We have insurance that was recovered the impact of the fire, including building restoration, inventory, and disruption to the business. Given the solid demand backdrop across our businesses, and our demonstrated ability to navigate the present challenges, we are pleased to raise our full year 2022 guidance to $6.7 billion or more in revenue, and tighten our non-IFRS adjusted EPS range to between $1.65 and $1.75. Before offering some additional color on our outlook for each of our businesses, I would like to turn the call over to Mandeep, who will provide additional details on our financial performance in the second quarter, as well as our guidance for the third quarter. Over to you, Mandeep.
Mandeep Chawla: Thank you, Rob, and good morning, everyone. Second quarter 2022 revenue came in at $1.72 billion at the high end of our guidance range. Revenue was up 21% year-over-year and up 10% sequentially fueled by revenue growth across our end markets. We delivered non-IFRS operating margin of 4.8%, 20 basis points higher than the midpoint of our revenue and non-IFRS adjusted EPS guidance ranges driven by solid results in both our ATS and CCS segments. Non-IFRS operating margin was up 90 basis points year-over-year and up 40 basis points sequentially. Non-IFRS adjusted earnings per share were $0.44 at the high end of our guidance range and up $0.14 year-over-year and up $0.05 sequentially. ATS segment revenue was up 24% year-over-year in the second quarter above our expectations of a low-20s percentage year-over-year increase. Sequentially, ATS segment revenue was flat. The year-over-year growth in ATS segment revenue was driven by higher revenue across all ATS businesses with particular strength in Capital Equipment and our Industrial business. The year-over-year performance also benefited from the addition of PCI. Our CCS segment delivered another strong quarter with revenue up 19% year-over-year driven by strength from our Communications and Enterprise Markets, led by our HPS business. CCS segment revenue was 17% higher sequentially. Our HPS business delivered revenue of $459 million in the second quarter, up 52% year-over-year, driven by strong demand and new program ramps with service providers, supported by continuing capital investment in data centers. Communications revenue was up 12% year-over-year in line with our expectation for the low double-digit percentage increase, and was up 14% sequentially. Year-over-year and sequential growth was driven by our HPS business. Enterprise revenue in the quarter was up 36% year-over-year, better than our expectation of a high-teen percentage increase. Sequentially, Enterprise revenue was 25% higher. The year-over-year increase was driven by strong demand across both compute and storage customers fueled by demand in our HPS business and new program ramps. Turning to segment margins, ATS segment margin was 4.5% in the second quarter, up 40 basis points year-over-year and down 30 basis points sequentially. The year-over-year margin increase was driven by improved operating leverage from higher volumes and the addition of PCI. CCS segment margin of 5.0%, our highest recorded CCS segment margins ever was up 130 basis points year-over-year and up 110 basis points sequentially. The year-over-year and sequential margin increase was driven by improved leverage from higher volume and improvements due to growth in our HPS business. Moving on to some additional financial metrics, IFRS net earnings for the quarter were $36 million or $0.29 per share, compared to net earnings of $26 million or $0.21 per share in the same quarter last year, and net earnings of $22 million or $0.17 per share last quarter. Adjusted gross margin was 9.0%, up 60 basis points year-over-year and up 20 basis points sequentially. The year-over-year improvement was driven by improved operating leverage due to higher volumes in both segments as well as more favorable mix. Non-IFRS operating earnings were $83 million, up $28 million year-over-year and up $13 million sequentially. Our non-IFRS adjusted effective tax rate for the second quarter was 22%, 2% higher year-over-year and 3% higher sequentially, as a result of unfavorable jurisdictional mix. For the second quarter, non-IFRS adjusted net earnings were $54 million, up $16 million year-over-year and up $6 million sequentially. Second quarter non-IFRS adjusted ROIC of 16.2% and was up 2.5% year-over-year and up 2.3% sequentially. Moving on to working capital. Our inventory at the end of the second quarter was $2.1 billion, up $173 million sequentially, and up $883 million year-over-year. While our inventory has increased recently, I will note that our revenue for the first half of 2022 was up 24% compared to 2021, and we continue to anticipate strong revenue growth in the second half of 2022. Given this anticipated level of growth, coupled with ongoing material constraints, we have been investing in our inventory levels to ensure we can better service customer demand. We are also continuing to work with our customers to help offset the working capital impact of our inventory purchases by providing higher levels of cash deposits. As of the second quarter, our cash deposits were up over $300 million year-over-year, more than 150% increase. Capital expenditures for the second quarter were $21.6 billion or just over 1% of revenue. While our capital expenditures in the first half of 2022 have been lower than our annual target of 1.5% to 2% of revenue. We do anticipate higher capital expenditures in the second half of 2022 to support new strategic program ramps, and anticipated strong growth in Lifecycle Solutions. Non-IFRS adjusted free cash flow was $43.3 million in the second quarter, compared to $31.2 million in the prior year period, and $0.5 million last quarter. Cash cycle days were 69 in the second quarter, an improvement of 2 days year-over-year and 7 days sequentially. Cash cycle days improved on a year-over-year basis, as higher A/P days and higher cash deposit days more than offset higher inventory days. Moving on to some additional key metrics. Our cash balance at the end of the second quarter was $365 million, down $102 million year-over-year and up $90 million sequentially. Combined with approximately $600 million availability under our revolver, we believe that our current liquidity of approximately $1 billion is sufficient to meet our anticipated business needs. We ended the quarter with gross debt of $651 million, down $4 million from the previous quarter, leaving us with a net debt position of $286 million. Our second quarter gross debt to non-IFRS trailing 12 months adjusted EBITDA leverage ratio was 1.7 times, down 0.1x sequentially and up 0.3x from the same quarter last year. At June 30 2022, we were compliant with all financial covenants under our credit agreements. During the second quarter, we repurchased approximately 1 million shares for cancellation at a cost of $9.8 million. We ended the quarter with 123.2 million shares outstanding a reduction of approximately 3% from the prior year period. Our capital allocation strategy remains unchanged. Over the long-term, we aim to return 50% of our adjusted free cash flow to our shareholders, while investing 50% in our business. However, moving forward, our capital allocation priority will focus on reducing our net debt, while continuing to be opportunistic with respect to share repurchases under our NCIB. Now turning to our guidance for the third quarter of 2022. We are guiding third quarter revenue to be in the range of $1.65 billion to $$1.8 billion, at the midpoint of this range is achieved. Revenue would be up 18% year-over-year and approximately flat sequentially. Third quarter non-IFRS adjusted earnings per share are expected to range from $0.41 cents to $0.47 per share. It’s the midpoint of our revenue and non-IFRS adjusted EPS guidance ranges are achieved non-IFRS operating margin would be approximately 4.8%, an increase of 60 basis points year-over-year and flat sequentially. Non-IFRS adjusted SG&A expense for the third quarter is expected to be in the range of $64 billion to $66 billion. We anticipate our non IFRS adjusted effective tax rate to be approximately 21%. Now turning to our end market outlook for the third quarter of 2022. In our ATS end market, we anticipate revenue to be up in the high-teens percentage range year-over-year, driven by demand strength and new program ramps in Capital Equipment and Industrial. In CCS, we anticipate our Communications end market revenue to be up in the mid-to-teen percentage range year-over-year, driven by strong demand from service provider customers supported by our HPS offering. In our Enterprise end market, we anticipate revenue to also increase in the mid-teens percentage range year-over-year, supported by demand strength in our storage market, and the continued growth in our HPS business. I will now turn the call back over to Rob for additional color on our businesses and overall outlook.
Rob Mionis: Thank you, Mandeep. We believe that Celestica is a more diversified and resilient business today than at any point in our company’s history. Recently, investors have heightened their focus on a number of mounting macroeconomic risks, which include interest rate hikes, inflation, supply chain constraints, and the potential for a recession. Given this, I think it may be instructive for us to provide additional color for each of our businesses. One of the core pillars of our strategy has been to grow our Lifecycle Solutions business, which represented 67% of our total revenue in the second quarter of this year, up from approximately 40% of revenues compared to 5 years ago. We believe that a shift towards Lifecycle Solutions businesses has resulted in a more diversified company with healthier margins, more attractive long-term growth profile, and less exposure to consumer markets. We also believe that these characteristics position, Celestica, to effectively execute in a recessionary environment, and gives us confidence in a long-term outlook of 10% annual Lifecycle Solutions revenue growth, and 10% annual EPS growth through 2025. Turning to the outlook for our businesses. Our capital equipment business has continued its strong performance in Q2 2022 driven by strong secular demand, new program ramps and market share gains. We anticipate the strong performance to continue in the second half of the year, while the trajectory of capital spending growth in the wafer fab equipment market is expected to moderate in 2023. We believe that the current semiconductor component shortages are a positive indicator of continued intended investment over the coming years. The tailwinds underpinning growth in semiconductor demand are structural rather than cyclical in our view. And while spending on trailing edge technologies greater than 7-nanometer are likely to be impacted negatively by a recession. We believe that the demand we are seeing in leading edge technologies less than 7-nanometer, which represent nearly 80% of our semiconductor business is robust, and far less sensitive to a broader slowdown in the economy. Additionally, we believe that our strong backlog fueled by new program wins and customer mix position us to outperform expectations for the broader wafer fab equipment market in the coming years. Moving on to our Industrial business. Our industrial business remains a primary driver of our ATS segment revenue growth. As an example, over the past few years, we have won a number of new programs in the energy storage and generation markets, which are anticipated to generate strong revenue growth in the coming years. While the industrial market is not immune to a recession, we believe that the majority of our industrial portfolio is not exposed to markets typically more sensitive to economic slowdowns. Additionally, we believe that growth drivers such as automotive connectivity and green energy are long-term secular investment trends, and are less likely to see major fluctuations in a recession. The A&D market continues to show year-over-year improvement spurred by an increase in activity in the commercial aerospace market, along with increased defense investment. Within our business specifically, we believe that new defense wins, along with a recovery in the commercial and business jet markets will support revenue growth moving forward. We also believe that the majority of our A&D business is somewhat insulated from a recession given the long-term nature of aircraft fleet and defense spending investment decisions. Now, I’ll shift to HealthTech. We believe that our HealthTech business continues to present attractive growth opportunities at demand in areas such as surgical instruments and patient monitoring devices continue to support growth in 2022. Even in recessionary times people get sick and we believe that the demand for the goods and services we provide should continue to grow as the population ages. Overall, we are pleased with the positioning of our ATS portfolio, as we look to the second half of 2022. Now turning to our CCS segment. Our HPS business continues to perform remarkably well recording 64% growth year-to-date, compared to the prior year period, and achieving approximately $820 million in revenue in the first half of 2022 with strong margins. The exceptional demand strength continues to be driven by investment in data center expansion from our service provider customers, a current trend that we believe is likely to persist for at least the near-term. A positive outlook is supported by the capital investment plans of several of our key customers and our solid order book. Additionally, our HPS business continues to gain market share from OEMs. Given the long-term horizon and strategic nature of service providers, customers, capital investment plans, as well as what we believe are secular rather than cyclical trends supporting datacenter growth. It is our view that demands in our HPS business will remain resilient in the near-term. Demand in the communications end market largely comprised of service provider customers is expected to be robust throughout the remainder of 2022 driven by networking customers and continued strong demand for 400G switches. Our HPS business continues to account for an increasing share of our Communications end market. And in our Enterprise end market, largely comprised of OEM customers. The year-over-year growth we are seeing in storage and compute is expected to continue at least in the near term, supported by a strong order book with industry leaders. However, we remain cautious in our outlook, as enterprise demand has historically been more prone to cyclicality in the slowing economy. We believe that Celestica is built for success over the long-term. As we look ahead to the second half of 2022, I firmly believe that our business is well positioned to take advantage of the numerous growth opportunities across our markets. Importantly, however, we believe we are also capable of weathering the macroeconomic challenges that we may encounter. I continue to have great appreciation for the tireless work of our entire global team. Their commitments to our values and their consistent execution have helped make our strategic vision into a reality. Our company’s talent and culture instill me with a confidence that we will continue to set a high bar for the future, and that we will achieve those expectations. With that, I would now like to turn the call over to the operator for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Robert Young with Canaccord Genuity. Please go ahead.
Robert Young: Hi, good morning. I was hoping that you could just talk a little bit on visibility. You give some comments in the prepared comments, but just wanted to see if you’ve had any changes from last quarter on the visibility you’re seeing in the semi cap particularly. Are you still seeing the same build schedule? And like – yeah.
Rob Mionis: Hey, Rob. Yeah, with specifically in semi cap, we are currently customers are giving us when you’re rolling forecasts. Visibility is about 3 times normal levels, right now, even customers because they’re so anxious to get the unit. They’re authorizing us to ship some product – short products and when we catch it up before it hits the fab. There’s no doubt, I think, we’re going to broadly speaking within capital equipment that there’s a slowdown in the memory devices that we see that being back filled with foundry logic orders are a leading edge less than 7-nanometer and as we mentioned on the call that makes about 80% of our business combined with that. And then, our strong order book and programs, we are poised to outperform the market certainly through this year. And we feel that we’re well positioned for 2023 and 2024, as well.
Robert Young: Great. And then second question for me would be on the CCS margins, which are very strong again this quarter. If you were to remove the impact of HPS, I was curious if the remaining businesses still operating that 2% to 3% target level? Is there any thought of changing the target level? And outside of HPS, how is that performing?
Mandeep Chawla: Yeah. Good morning, Rob. So HPS is performing very well, and we’re very pleased with it. The margins right now are accretive to our target range. And so our target range for the company is 4% to 5%. And HPS right now is operating pretty close to the high end of it, and sometimes even higher. That being said, the non-HPS portfolio within CCS continues to be very healthy. We’re seeing strong growth with both service provider as well as enterprise customers. We have the ability to continue to refine the portfolio as we go, and so we’re very pleased with the book of business that we have. And so that 2% to 3%, historically, was said with HPS being a very small contributor. And so the outsize growth is being driven by HPS. And so you can back into the fact that the rest of the portfolio is operating in line with expectations. In terms of going forward, clearly, CCS continues to operate above that 2% to 3% range. We are considering when the right time is to adjust that. ATS is a little bit outside of its range. And we would like ATS to consistently be in this range before we go and make changes to our overall targets. But very pleased with the momentum in CCS and we expect that we’re going to see strong margins going forward as well.
Robert Young: And last question just on the ATS margins, what would be the key areas of drag there? I assume A&D is still operating at below optimal levels? Is that the key drag on margins in the ATS? Or are there any other areas?
Mandeep Chawla: You’re right. A&D is not yet operating at its target margin levels, that it’s a very heavy fixed cost business. That being said, we’re very pleased with the sequential increases that we’re seeing in A&D and we are starting to see the benefits of the recovery. And so we are very confident that A&D will be able to return back to its historical strong margins. That being said, it is a one of the drags on the quarter. But other than that was primarily ramping programs, we’re very pleased with the revenue growth that we’re seeing in ATS right now. It’s exceeding our expectations. And we’re expecting strong growth going into the second half. Some of that growth is being fueled by new winds that we have in the industrial business. And we are investing forward before those programs really turned to revenue. So as we continue to ramp new programs in the back half of the year, we do expect some opportunities on the margin side.
Robert Young: Okay. Thanks a lot. Congrats on the quarter.
Rob Mionis: Yeah, sure.
Operator: Your next question comes from Ruplu Bhattacharya with Bank of America. Please go ahead.
Ruplu Bhattacharya: Hi, thank you for taking my questions. Mandeep, you’re racing the guidance for the full year by $200 million on the revenues, looks like inventory was up about 9% sequentially. Can you comment on working capital requirements? I mean, do you think inventory now is at a level where you can maintain or reduce this level? And how should we think about free cash flow given the higher growth expectations?
Mandeep Chawla: Yeah. So the inventory is elevated relative to last quarter. And to your point, it’s being driven by a lot of the growth that we’re seeing. As Rob mentioned, in the prepared remarks, we are seeing significant growth in the first half of this year, which we are expected to continue into next year. Inventory that you buy today is not always just for the quarter in front of you, or even 2 quarters, sometimes you’re looking forward to early 2023. And so I think the inventory, one way to look at it is, it’s a good leading indicator for the growth that we’re expecting, as we finish this year and going into next year. Will it stabilize at these levels? Or will it go dramatically different? I think it’s a function of how quickly we’re able to get the right parts in. Because one of the reasons that we do have elevated inventory, as you know, is because we continue to work with our suppliers to square off the kits. But as material availability becomes better, we would expect to see some improvement in overall turns. From a free cash flow perspective, we’re happy with the free cash flow generation that we’ve had to date [about $43 million] [ph] $44 million. As we mentioned last quarter, we are still targeting positive free cash flow in the back end of this year. Although, we would like to do $100 million or more, expectations should be set that we may do less than that. And the number that we provided last quarter was $75 million for the full year and I think that’s still the right number to keep in front of you. Going forward, though, we think that with the order book that we have as well as with the opportunity for inventory to start unwinding. We’re in a very strong position to generate good cash flow in 2023 and beyond, above our $100 billion target.
Rob Mionis: And, Ruplu, I would also add that on the supply chain environment just to Mandeep’s point, we are starting to see the light at the end of the tunnel if you will, due to some of the consumer products having some inflationary periods and the market cooling off, we are seeing more availability on some of the components that we use. So things are starting to gradually ease up. So we’re cautiously optimistic on that front.
Ruplu Bhattacharya: Okay. Thanks for that, Rob. It’s helpful. Can I follow-up on Enterprise demand, you saw a strong 36% year-on-year growth. Can you help us understand, where that demand came from? Is it – was it more on servers or storage, and you see that sustaining over the rest of the year?
Rob Mionis: Yeah, so in Q2 is both storage and service, particularly non-X86 [apart during] [ph] compute, and in terms of the third quarter, again, we see some strong demand largely in storage due to tough comps, we see compute on a year-over-year basis cooling off.
Ruplu Bhattacharya: Got it. For my last question, can I ask on HPS, you’re seeing strong growth, and that has good margins? Is there a target percent of revenue that you’re targeting for that business can I continue to gain share? What are some of the drivers that are driving that growth? And what level of investment do you need to make to keep driving growth in the HPS business? Thank you.
Mandeep Chawla: Yeah, Ruplu, so as I think the word [for off use] [ph] in the script was remarkable performance in HPS and that is what we are seeing very strong growth overall. I would tie your question back to Lifecycle Solutions though in totality. Lifecycle Solutions, which is made up of the HPS business and ATS, we are expecting to grow at a 10% growth rate over the next number of years. ATS is very much tied to the end markets that they’re in as well as the increasing level of outsourcing plus we’re having market share gains in a lot of areas, which is helping us do very, very well this year. And we expect it will help us continue that growth going forward. On the HPS side is very much tied to data center growth rates. And our view right now is that data center build outs are going to continue at a double-digit rate, at least in the near-term. And as Rob mentioned, we have a good level of visibility with our specific customers. So far in the first half of the year Lifecycle Solutions, I think is up, you know, between 25% and 30% year-over-year revenues. And so clearly we’re operating above the 10% mark. We do anticipate some of that strength is going to continue into the back half of the year. But the way to think about Lifecycle Solutions as we go into 2023 and beyond is at the 10% growth number, we’re feeling pretty confident.
Ruplu Bhattacharya: Thanks for all the details. Appreciate it.
Rob Mionis: Thanks, Ruplu.
Operator: Your next question comes from Thanos Moschopoulos with BMO. Please go ahead.
Thanos Moschopoulos: Hi, good morning. Rob, appreciate all your commentary on the macro. So maybe just to summarize, if we think about sort of the customer discussions you’re having now versus 3 months ago. The sound pretty consistent in terms of demand outlook in visibility or any significant changes, you’d highlight just thinking to your conversations now versus last quarter?
Rob Mionis: Yeah, good question, Thanos. Thank you. We’ve just with all the noise in the market, we’ve just completed an exhaustive review of our entire portfolio by market took the time to truly understand the demand drivers for each of our businesses. We understand the buying behaviors our customers, we engage customers at multiple levels and align with them in their outlook. We cross-correlated their outlook with our views with our supply chain partners. And based on that the message to your point is fairly consistent quarter-over-quarter, we have at least to the end of 2022 confidence in our outlook, and as such, we raised our expectations for the full year. And then the midterm, we think our portfolio is fairly resilient. Remember, this is – what we’re coining the new Celestica or much more diversified business Lifecycle Solutions in Q2 with 67% of our business and our strategic goals are to pick it north of that. We’re not in consumer-oriented markets, so we’re more insulated from a downturn. And we’ve been operating very well with our Celestica operating system, which has been a proven model to kind of manage supply chain constraints and some of the other macro issues. So, again, the resiliency of our portfolio will be really a function of the depth and the duration of any potential recession, but based on the homework that we’ve done and the conversations we have – for 2022, we feel pretty good. And then moving into 2023 and 2024, we think we have a fairly resilient portfolio.
Thanos Moschopoulos: That’s helpful. And on the Q3 guidance, you’re guiding for revenues to be roughly flat sequentially, though, I thought that you’ve been supply constrained. And it sounds like the supply backdrop was getting a little bit better. So why would that not lead to sequential revenue uptick? Or are other kind of puts and takes think about that regard?
Mandeep Chawla: Yeah, I think, it’s really an end market by end market conversation. We are starting to see some levels of improved material supply. What that’s turning into, though, is a reduction in lead times, not necessarily that we’re able to secure materials immediately. We think the [a17.25a] [ph] what I would really point you towards less about the sequential revenue growth, but the year-over-year revenue growth at 18% it is still a tremendous amount of growth on a year-over-year basis. And that growth, thankfully, is being fueled across our end markets in both HPS as well as ATS. The other thing, I’d also mentioned, though, is PCI, we did talk about how the impact in the second quarter was negligible. But the revenue impact in the back half of the year is expected to be less than $100 million. So we are seeing that impact in the third quarter, really happy that we’re able to continue to maintain very strong profitability, despite those inefficiencies.
Thanos Moschopoulos: Great. Excellent. Thanks.
Mandeep Chawla: Thanks, Thanos.
Operator: Your next question comes from Jim Suva with Citigroup. Please go ahead.
Jim Suva: Thank you, and congratulations to you and your team. As we look at your strong results and your guidance and outlook. I just want to get a little bit of commentary on color of your discussions you’re getting with your customers. Are they all kind of like businesses, good supplies short, we just want to get stuff into the fulfillment system? Or is there any kind of overview or a little bit of tempering about macro concerns, as we’ve heard from some other companies about some macro concerns?
Rob Mionis: Hi, Jim. Yeah, the conversations we’ve had a really the former – we have across Capital Equipment, Industrial, A&D, HealthTech, and on HPS business, our customers are very eager to get their product. We have strong backlogs. We’re still material constrained, although slowly easing across all of these product lines. And they’re fairly bullish in the short-term. We’re talking to them about the midterm and it’s a market by market dynamic. But in most cases, in these markets, HPS specifically, they’re telling us these are not short cycle decisions that they’re making. And that investment in the cloud and data center expansion, maybe with strategic investments there, underpinned by growth in cloud by advertising by augmented reality, all these maybe those strategic anchors, and that’s something that I want to fall behind to any environment. They’re also pretty flush with cash this customer base. So they’re continuing their investment similarly in capital equipment, leading edge equipment is still in short supply, wisely given by some of the data center customers versus leading edge componentry and industrial. And once again, we’re largely [ph] coming from green energy. We’re very material constrained right now and very strong backlogs in A&D and Lifecycle [ph] business. In HealthTech, as we mentioned, is a fairly recession proof type of segments, so based on our mix of business, the conversations that we’re having with them. Is this as normal, there are concerned about the macro environment that they’re asking us to fulfill their demand pretty quickly.
Mandeep Chawla: Jim, maybe the one thing I would ask – Jim, one thing I would maybe just add to Rob comments were the backlog for many of our customers continues to be multiple quarters out. And we have many of our customers who are still asking for more products and were able to deliver and of course, the gating item there is material constraints. And an interesting point is that we continue to see some customers want to pay expedite fees in order to get the materials. So, although, there are slowdowns in parts of the macroeconomic environment, we’re not necessarily seeing it at a grand scale within our customer base.
Jim Suva: Okay. And then my might quick follow-up, the component constraints are they kind of the similar ones is like last quarter kind of like power management type items? Or have some resolved and others popped up about new constraints just generally speaking, I’m just kind of curious?
Rob Mionis: We generally consistent, Jim, we think same areas passes still have high lead times and semiconductors still have high lead times to see the lead times stabilized. They haven’t gotten any worse. And we’re seeing a little bit, as Mandeep mentioned, improvement in availability. We’re also seeing our – supply the same, some slots are opening up at the foundries, which is enable them hopefully to fulfill supply a little quicker than originally anticipated in the future quarters. So again, we’re cautiously optimistic, but it’s the same type of components we have previous quarters.
Jim Suva: Thank you so much for the clarifications. And, again, congratulations to you and your team at Celestica.
Rob Mionis: Thank you, Jim.
Operator: [Operator Instructions] Your next question comes from Todd Coupland with CIBC. Please go ahead.
Todd Coupland: Hi. Yes, good morning. I wanted to ask you about two things. First, on HPS, in your business review, what kind of recession scenario would cause that business to pull back? It sounds like out modest recession not going to have an impact. Have you had those kinds of conversations with customers on, what would be required to see actual pullback in that business?
Rob Mionis: Yeah, we’ve had, Todd, right now, what we’re seeing from them is good audio visibility approximately 6 months, sometimes more. Mandeep mentioned earlier that in many cases, they’re still paying premiums, which was authorized; and airfreight, which means that they have confidence and we have two requirements. And, they have seen no change in the conversation right now is based on a little bit more availability of supply, we have seen some rebalancing of supply. So this is the case where there might have too many objects versus the number of switches, again, the impact that also has been fairly moderate, because our group tends to focus more on the high value areas of the data center. So the rebalancing has been more on the lower value areas of data center. In terms of them pulling back, that hasn’t mentioned any of that, they all view this as long-term cycle decisions. They get land; they constructed a business; they start building the infrastructure. So, based on these lead times to construct and expand data centers, it doesn’t feel like it’s going to be falling off the cliff or sudden reverse base, if anything it might be gradual slowing down over time. But in the midterm, we certainly haven’t seen any signs of that.
Todd Coupland: And when we think about the customers here, it’s the hyperscalers, but it is for the web services and not the social media platforms. So that that’s the right customer base to think about it?
Rob Mionis: I would think it’s all service provider customers, including every one that you mentioned.
Mandeep Chawla: As a reminder, Todd, we do business with 8 of the top 10.
Todd Coupland: Yeah. And then my second question was on working capital. It’s great to see the free cash flow. But if I did my math, right, the inventory investment was more or less offset by stretching accounts payable. So is that how you sort of get there in the second half of the year, if you still have to make those investments in inventory? So then really, it’s the step up in free cash flow is when that starts to unwind, whenever that happens, just a little color on that? Thanks.
Mandeep Chawla: Yeah, it’s a dynamic situation that we’re working through quarter by quarter. The other two items that you didn’t mention there, Todd, were deposits as well as receivables. On the deposit side, we’re very pleased with performance that we’ve been seeing. Year-over-year, our deposits were up $325 million. And we continue to work with our customers as we make strategic decisions around inventory buying on how much of it can be customer funded. The other point, of course, is receivables. And we’re pleased with the receivables performance, and if you look at the breakdown on the cash cycle days, we are seeing an improvement on a year-over-year basis. So we need to be very disciplined on managing our working capital in this type of environment. So far, we’re pleased with the performance and we think that discipline as it continues into the second half should lead towards positive free cash flow.
Todd Coupland: Great. Thanks for the color.
Mandeep Chawla: Thank you.
Operator: Your next question comes from Paul Treiber with RBC. Please go ahead.
Paul Treiber: Thanks very much, and good morning. Just wanted to follow-up on a couple of comments that you made on the impact of the fire in Indonesia, it looks like guidance for 2022 includes the less than $100 million revenue impact. But then you also mentioned that the [cost of aid] [ph] or the impact would be covered by insurance. So how do we think about the impact in EPS this year?
Mandeep Chawla: Yeah. Good morning, Paul. So we’re pleased that we have insurance coverage for almost all of the exposure within the Batam facility. One of the things you’ll see as you had some time to start going through our financial statements, as we had about a $90 million inventory impact, all of which we believe is covered by insurance. And so we’re actively in the process right now working with our insurance. There is some level of business interruption insurance. And what that really means is that we don’t expect that the fixed cost structure that we have tied to the Batam facility is going to put a material drag on the earnings. And so, right now, I think the way to think about it is that the contribution from that $100 million will be typical flow through rates that you would normally see. So if 5% to 10% of an impact that goes with that $100 million dollars, but we do believe that the insurance is going to help us not move into a lot position in the site in the back half of the year.
Paul Treiber: Okay, that’s helpful. And then, secondly, when you look at the bigger picture outlook for the second half of the year in terms of revenue versus costs, you raised revenue guidance, but then just tightened EPS guidance, what is that you’re seeing on the cost side that doesn’t allow the higher revenue, that you got in to drop to the bottom line and also drive higher EPS versus your previous range?
Mandeep Chawla: Yeah, so when we were doing the $1.55 to $1.75 at the beginning of the year, Paul, it was with a combination of scenarios between margin and revenue. I think more importantly, what I would talk to is a current performance. So at 4.8% EBIAT in the second quarter, which is also our guide now for the third quarter that’s the second highest EBIAT performance, the company’s had since its IPO, the highest was in the fourth quarter of last year at 4.9%, so pretty close. And so maintaining that 4.8% in the third quarter and you can make your assumptions on the fourth quarter, what it implies is that we are operating in the 4.5% to 5% range, which is the highest the company has ever done on a full year level. And so the EPS lends itself towards the higher end of that range. Do we have the ability to maintain this margin performance in 2023? We’re certainly targeting to do so. And then, I also point you back to our commentary on how we look at the future, we are continuing to target 10% EPS growth off of that number going into 2023. So steady as it goes, I think it’s how we’re looking at it. And we’re pleased quarter-by-quarter how the performance is coming in.
Paul Treiber: And then just lastly for me, just also on the cost side as well. Can you just provide an update on what you’re seeing in terms of wage pressures and other costs, excluding supply chain, other costs that may be impacting your fixed cost structure and how you’re managing that?
Rob Mionis: Yeah, hi. We’ve certainly seen wage inflation across the board. For the most part, we’ve been trying to recover that and have been recovering that in our forward pricing. Many of our contracts have quarterly repricing points and the ones that don’t – we engaging with our customers in the discussions to put in premiums or things along those lines to cover the cost of inflation, labor inflation and forward pricing.
Paul Treiber: Okay, thank you. I’ll pass it on.
Operator: Your next question comes from Daniel Chan with TD Securities. Please go ahead.
Daniel Chan: Hey, Mandeep, you guys are talking about improving supply constraints as we start to see that inventory unwind. And you have more flexibility on your use of capital, which we expect that to your share buybacks to accelerate? Or is there other thoughts for that capital as the overall environment improve?
Mandeep Chawla: Yeah. Good morning, Dan. I’d point back to our capital allocation remarks. As you know, we have a very strong track record on share buybacks. We’ve returned more than 50% of our free cash flow over the last 10 years or so, back to shareholders. Our approach towards free cash flow generation and capital structuring is relatively consistent with the last few quarters. We want to generate strong positive free cash flow, but our focus in the near-term is really to pay down debt. We see multiple benefits from doing that. Of course, in a rising environment, it becomes a bigger drag on your P&L from an interest expense perspective. We’d like to manage that as we focus on growing EPS. But it also allows us to continue to build dry powder. We have both the balance sheet as well as the management capacity to take on more business. And for the right target, we are willing to act and so it gives us that optionality. That being said, on the share buyback programs, since we launched the program in the fourth quarter of last year, we bought back 1.7 million shares. And we have done it as we think at a very favorable price as the market has had depressed multiples, will continue to be opportunistic as you look forward. As a reminder, we actually have the ability to buy up to 6 million shares under this program, which doesn’t expire until the end of November, and we bought back again in less than 2 million. So we have the ability to act when we need to act. But in the absence of very volatile stock, our preference is to put that down towards debt repayment.
Daniel Chan: Right. Thank you.
Mandeep Chawla: Thanks, Dan.
Operator: Mr. Mionis, there are no further questions at this time. Please proceed.
Rob Mionis: Thank you. We continue that strong start to the year by posting another solid quarter of results, we continue to execute well to a difficult supply chain and macro environment. I’m also pleased we’re able to raise our financial outlook for the full year and feel confident in our customers demand profile in order to do so. I’d like to thank our global team for another strong quarter and thank you all for joining today’s call. We look forward to updating you as we progress throughout the year.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a great day.